Operator: Hello, everyone, and welcome to YPF Fourth Quarter 2025 and Full Year 2025 Earnings Webcast Presentation. Please note that this call is being recorded. [Operator Instructions] I'd now like to hand the call over to Margarita Chun, YPF's IR Manager. Please go ahead.
Margarita Chun: Good morning, ladies and gentlemen. This is Margarita Chun, YPF's IR Manager. Thank you for joining us today in our full year and fourth quarter 2025 earnings call. Before we begin, please consider our cautionary statement on Slide 2. Our remarks today and answers to your questions may include forward-looking statements. which are subject to risks and uncertainties that could cause actual results to be materially different from the expectations contemplated by these remarks. Our financial figures are stated in accordance with IFRS, but during the presentation, we might discuss some non-IFRS measures such as adjusted EBITDA. Today's presentation will be conducted by our Chairman and CEO, Mr. Horacio Marin; our Finance VP, Mr. Pedro Kearney; and our Strategy, New Businesses and Controlling VP, Mr. Maximiliano Westen. During the presentation, we will go through the main aspects and events that shape the annual and Q4 results as well as our updated guidance for 2026. And finally, we will open the floor for Q&A session together with our management team. I will now turn the call over to Horacio. Please go ahead.
Horacio Marin: Thank you, Margarita, and good morning. I would like to begin by highlighting that 2025 was a transformational and landmark year for the company. First, we delivered exceptional operating performance, consistently beating our own records across all business segments. Second, we almost completed our exit program from mature fields and secure Tier 1 shale blocks in Vaca Muerta. Third, we have taken significant steps forward in the development of the LNG project. Now, let me translate all these milestones into numbers. During 2025, despite the volatile price environment, we achieved a record-high EBITDA of $5 billion. This is the highest EBITDA in the last 10 years and stands as the third largest in the company history, underscoring our resilience and operational discipline despite the 15% contraction in Brent prices. This outstanding outcome was driven by record shale oil production, growing by 42% in December 2025 on an interannual basis. We produced 204,000 barrels per day, exceeding by far the target of 190,000 barrels per day set at the beginning of the year. Progress on the VMOS project was also remarkable, with completion stage above 50% and the first oil delivery anticipated by early 2027. Moreover, the strategic combination of shale oil ramp-up and exit from mature fields allowed us to reduce by 44% our lifting costs in Q4 2025 compared to last year. Including the recent conventional divestment, such as Manantiales Behr and Tierra del Fuego blocks, our lifting cost would have been below $8 per BOE. This consolidate a structural cost reduction, bringing us closer to becoming a pure share player. In 2025, our Vaca Muerta shale reserves significantly expanded by 32%. It now accounts for 88% of our total peak oil reserves, and we increased the reserve replacement ratio to 3.2x and the reserve life to 9 years. Moreover, when looking the full potential of our shale acreage in the long term, including the recent M&A transaction, YPF holds a total well inventory in Vaca Muerta of 16,500 at a 100 stake and 10,300 at ownership. In parallel, we achieved a strong operational efficiency in our midstream and downstream segments. We reached a record-high refinery utilization rate of almost 100% in Q4, growing by 10% internally. This excellence, together with higher efficiency through disciplined cost management and proactive pricing policy, resulted in outstanding adjusted EBITDA margin of $22.6 per barrel. Furthermore, 2025 was a highly active year for YPF with respect to M&A. We executed a significant acquisition, securing 3 world-class blocks in Vaca Muerta, Sierra Chata, La Escalonada, and Rinco de la Ceniza. More recently, in early 2026, we further reinforced our portfolio by swapping assets with Pluspetrol to fully own 3 wet gas block, key for the Argentina LNG project. We also acquired part of Equinor asset in Vaca Muerta in partnership with Vista Energy. For YPF, Vista Energy represent far more than a strategic partner. It's a trusted ally with a shared determination to accelerate Vaca Muerta development. At the same time, we enhanced our portfolio efficiency through targeted investments, including our 50% stake in Profertil and the conventional Manantiales Behr field. These transactions are expected to generate nearly $1 billion in proceeds, for which around $750 million will be collected during December 2025 and 2026. This, in that sense, it fortifies our balance sheet and provides financial flexibility to focus on our core growth business. Turning to Argentina LNG project, I'm proud to highlight the strong commitment of our international founding partners, ENI and XRG. Together with YPF, we formalized this month the foundational structure of the project. Our fully integrated project is supported by one of the most competitive LNG breakeven prices worldwide, positioning YPF as a future leadership in the global LNG market. Finally, in terms of financing during 2025, we successfully raised $3.7 billion of new funding. This proves the company ability to secure multiple financing sources to comply our ambition plan. The company closed the year with a net leverage ratio of 1.9x. All of these outstanding metrics demonstrate the successful execution of our 4x4 Plan. We are committed to becoming a leading shale integrating company and a significant shale exporter in the coming years. Let me walk through the main aspects of a full year and Q4 2025 financial results. Annual revenues totalized $18.4 billion, reflecting a modest decline of 4% compared to the previous year. This was primarily driven by a significant 15% contraction in Brent. This impact was largely mitigated by higher shale production and record-high processing levels. Similarly, Q4 revenues followed the same trend, decreasing 4% year-on-year, while Brent dropped by 15% in the same period. adjusted EBITDA increased by 8% in 2025, with EBITDA margin growing from 24% in 2024 to 27% in 2025. A clear evidence of our ability to drive value in a lower pricing environment. Q4 was outstanding as adjusted EBITDA was nearly $1.3 billion, reaching an impressive 53% internal growth. This remarkable achievement was due to the outstanding performance of our shale operation, which contribute over 70% of our total production mix, coupled with successful execution of our exit program from conventional mature field. As a result, we achieved a substantial reduction in our total upstream lifting costs. Moreover, our midstream and downstream segment also delivered record-breaking operational results, further reinforcing the strength of integration of our business model. A key factor behind this achievement has been the technological transformation that the company started in 2025. To achieve exceptional results, we must change traditional way of working. In that sense, since December 2024, we now rated 7 real-time intelligence centers to provide 24/7 support of both the upstream and downstream operations. Integrating AI with expertise of our technical team, this center optimize decision-making in upstream, refining, and commercial processes. These impressive operational and financial results were achieved through the disciplined execution of our $4.5 billion investment plan, of which approximately 75% was strategically allocated to unconventional operations. In that regard, let me point out that CapEx for 2025 ended around 10% below our original estimate, mostly driven by further operational improvements and lower costs in dollar terms. Finally, we achieved a strong financial performance in Q4, with free cash flow returning to positive territory at $261 million. This improvement was primarily driven by the partial proceeds from the sale of our 50% stake in Profiltein, collecting $200 million, complemented by our solid operational performance. As a result, our net leverage ratio improved to 1.9x, down from 2.1x record in Q3. Finally, I would like to reconfirm that the safety of our workers is our top priority in the development of the activities of the company. During 2025, we delivered substantial progress in our safety indicator, we achieved a frequency rate of 0.09 accidents per million hours worked. This was driven by our integrated safety culture model, along with preventive action, training, and risk control activities. Let me mention that YPF upholds world-class safety standard across all the operations. In the upstream segment, by the end of 2025, YPF record a lost time injury rate of 0.15 per million hours worked, significantly lower than the international benchmark of 0.24 in 2024, as reported by the International Association of Oil and Gas Producers. In the downstream segment, YPF record an exceptional lost time injury rate of 0.06 per million hours worked in 2025, positioning us among the top performers in Solomon's refinery benchmark. I would like to extend my sincere appreciation to all our employees for their strong commitment and steady dedication. We reaffirm our strong commitment to continue improving our safety standards. Now turn the call to Pedro to analyze in detail our 2025 financial results.
Pedro Kearney: Thank you, Horacio, and good morning to you all. Now, let me walk through the primary drivers behind the changes in our EBITDA, liquidity position, and free cash flow in 2025 compared to last year. In 2025, adjusted EBITDA increased by $356 million. This achievement was driven by the strategic shift in our production and cost matrix in the upstream business, enhanced by further operational efficiencies, collectively contributing around $900 million. Additionally, records in our refinery protection levels, strict cost discipline, and higher refining crack spreads in our midstream and downstream business contributed to an additional $220 million to our EBITDA growth. At 2024 international price levels, our pro forma adjusted EBITDA would have reached approximately $5.8 billion. The market pricing environment in 2025 shift downwards. The 15% decline reflected in Brent prices resulted in a negative impact of around $800 million, pushing our 2025 adjusted EBITDA to $5 billion. Switching to cash flow, we reported, as expected, a negative free cash flow of $1.8 billion in 2025, primarily due to exceptional and non-recurring effects. This included approximately $550 million related to the acquisition of premier Tier 1 acreage in Vaca Muerta, net of partial proceeds from the divestment of non-core assets, roughly $530 million in one-off exit costs from mature fields, and approximately $160 million in contributions to the infrastructure projects Vaca Muerta Sur, Southern Energy LNG and Oldelval Duplicar, as well as prepayments of dollarized costs for 2026 as part of our proactive hedging strategy. Adjusting for these extraordinary items, free cash flow for the year would have been negative $500 million, largely explained by the negative EBITDA of about $350 million from conventional mature fields, most of which, although formerly part of YPF's asset portfolio, were strategically exited during the year. From a financing perspective, 2025 was a strong year for the company, as we fully met our financial plan by raising $3.7 billion, one of the largest debt financing secured in recent years. This goal was possible through a combination of cross-border trade-related loans and highly competitive issuances in both local and international capital markets at very attractive financing costs. In the international capital markets, we demonstrated our strong market access and credibility by raising $1.6 billion. Early in the year, we issued $1.1 billion through the 2034 bond. In October, we re-tapped our 2031 bond, adding $500 million. More recently, just last month, we re-tapped our 2034 bond, adding $550 million at a yield of 8.1%, the lowest rate secured by the company in international capital markets in the last 9 years. These proceeds were strategically allocated to prepaid at $325 million for the AB loan with CAF, originally executed in 2023, and to fund the partial acquisition of Equinor assets from Vista Energy. On the local capital market front, during 2025, we issued a total of 10 series of local bonds amounting to $1.4 billion, with an average tenure of 2 and a half years and a highly attractive average interest rate of 6.5%. The depth and quality of these issuances underscore the strong demand for YPF securities in the domestic market. Regarding financial and trade-related loans from relationship banks, I would like to highlight the $700 million export-backed loan closed in the fourth quarter. This transaction marked the successful reopening of the syndicated corporate cross-border loan market in Argentina. As of today, we have disbursed only $50 million from this facility, leaving a substantial undrawn commitment of $650 million available before April 2026. Looking ahead to 2026, the company faces maturities totaling approximately $2.1 billion, primarily comprised of $1 billion in local bonds, around $300 million in international bond amortizations, and the remaining in trade-related and financial loans amortizations. Thanks to our robust financial position, supported by diversified funding sources and nearly fully available bank credit lines, YPF is exceptionally well-prepared to meet its debt obligations over the next 12 months. From a liquidity standpoint, by year-end, our cash and short-term investment totaled roughly $1.2 billion. The positive free cash flow of the fourth quarter, combined with increased EBITDA, allow us to close in 2025 with a net leverage ratio of 1.9x. I am now turning to Max to go through some details of our operational performance.
Maximiliano Westen: Thank you, Pedro, and good morning to everyone. Let me start by taking a closer look at our upstream performance. During 2025, we achieved sound production growth of 35% in our shale oil output, delivering 165,000 barrels per day. This impressive expansion accelerated in the fourth quarter, with shale oil output averaging 196,000 barrels per day. By December, we surpassed a major milestone, producing over 200,000 barrels per day and exceeding our year-end target by roughly 7%. The outstanding performance of our shale operations more than offset the anticipated decline in conventional oil production, which averaged 90,000 barrels per day in 2025, dropping 32% compared to 2024. The reduction was even more pronounced in the fourth quarter, averaging 68,000 barrels per day, excluding the recently divested assets, primarily the Tierra del Fuego and Manantiales Behr blocks, our pro forma conventional production would have averaged around 35,000 barrels per day by December. Consequently, the combined strategy of divesting conventional fields and scaling up our sale operations, generating significant savings in our average lifting costs, declining 26% to $11.6 per BOE in 2025. During the fourth quarter, lifting costs dropped 44% inter annually to $9.6 per BOE. On a pro forma basis, excluding the recently divested conventional assets, our lifting cost would have been below $8 per BOE. Swimming into our shale oil hub blocks, we maintained best-in-class costs at $4.4 per BOE, virtually unchanged from last year, driven, among other factors, by the implementation of the real-time intelligence center in Neuquen. Turning to natural gas, production averaged 36.2 million cubic meters per day in 2025, reflecting a modest 3% decline versus 2024. This was mainly due to our strategic exit from mature fields, partially offset by a strong 14% increase in shale gas production in 2025. As expected, the fourth quarter was lower sequentially, influenced by seasonality and the continued progress of our divestment strategy. I would like to expand my comments on YPF's leading position in Vaca Muerta by presenting a benchmark analysis conducted by Rystad Energy, a renowned consulting firm specialized in the energy sector. In 2025, YPF's 4 oil blocks in Vaca Muerta delivered the most efficient lifting costs among the leading operators within this shale formation, reaching $4.4 per BOE. Vaca Muerta's total average lifting cost was $5.9 per BOE, and excluding YPF, would have amounted to $6 per BOE. YPF's lifting cost is lower than the Permian Basin, which averaged $4.9 per BOE. This remarkable efficiency underscores 3 key points. First, although still in early stage of development, Vaca Muerta demonstrates exceptional productivity, closing the gap with operational metrics observed in Permian. Second, the YPF asset premium, world-class quality. And third, the efficiency program implemented by YPF in recent years that allowed the company to further reduce its operating costs. Moreover, it is worth highlighting the outstanding quality of Vaca Muerta's source rock, a geological advantage that positions the play among the most competitive and conventional resources globally. The shale oil EUR levels in Vaca Muerta, at its current stage of development, more than double the average of the shale play in the U.S., accumulating roughly 1 million barrels. YPF's shale oil core hub, including La Angostura Sur block, averages a EUR between 1.2 million and 1.5 million barrels. This indicates, first, that Vaca Muerta is a world-class asset with a unique potential that could translate into further competitiveness towards full-scale development. Second, that YPF holds the best acreage within Vaca Muerta with the highest productivity. Regarding well cost, YPF also stands as the most efficient player on the basin, roughly 10% below Vaca Muerta's average. Moreover, YPF achieved the fastest drilling speed in Vaca Muerta. Since 2021, YPF's growth in this area has significantly outperformed its peers. Let me add that last October, YPF reached a record of 540 meters per day in Barril Grande block, adjacent to La Angostura Sur. The well was drilled in 11 days with a lateral length exceeding 3,000 meters. Finally, it is worth noting that even at its current stage, Vaca Muerta's breakeven price remains highly competitive, slightly above Permian's. YPF holds Tier 1 assets that are as competitive as Permian fields, featuring similar breakeven price of approximately $40 per barrel, when assuming 10% cost of capital. This is because YPF's higher well costs are effectively offset by superior productivity and lower lifting costs. Zooming into our hydrocarbon reserves, total P1 reserves under the SEC criteria grew by 17% in 2025. This expansion was mainly driven by a substantial 32% expansion in our Vaca Muerta shale reserves, which now represent 88% of our total proved reserves, partially offset by our divestment program from conventional reserves. In 2025, proved reserve additions totaled 467 million BOE, largely supported by the continuous expansions, discoveries, and improved recovery of our unconventional operations, particularly in La Angostura Sur, La Amarga Chica, Bandurria Sur, and La Calera blocks. These additions were partially offset by higher total hydrocarbon production of 192 million BOEs, downward revision of 58 million BOEs. mainly due to the changes in project strategy and drilling schedules, as well as 29 million BOE reduction explained by M&A transactions. It is worth highlighting that P1 developed reserves increased by 4% in 2025, driven mainly by development activities, new extensions, and discoveries mentioned exceeding annual production levels. Meanwhile, proved undeveloped reserves grew by 34% as new additions offset the volumes developed in the drilling of new wells. Giving the strong ramp-up in shale hydrocarbon production in 2025 and the continued development of our shale reserves, the reserve replacement ratio increased to 3.2x with a reserve life of 9 years. For total P1 reserves, the ratio stood at 2x with a reserve life of 6.7 years. Notably, when excluding conventional assets under our divestment program, the pro forma ratio for our total P1 reserves improved to 2.7x with our reserves life of 8 years. Now, let me share the progress achieved in the exit program from conventional mature fields. To date, 45 blocks out of 48 involved in the Phase 1 of Andes Program have been completed. This considers the reversion of 18 blocks to the provinces in total, including the agreement for 7 blocks with the province of Tierra del Fuego, completed in January this year. Regarding the 16 blocks under phase two of Andes Program, this year, we signed the sale of Manantiales Behr, which we will discuss in more detail later, in 2 blocks in the Malargue cluster. We expect to complete the divestment of the remaining blocks throughout the year. Now, I would like to present an overview on the main M&A transactions executed during 2025 and expected activity for 2026. In 2025, the company completed a series of significant acquisitions, securing 3 world-class blocks for a combined investment of roughly $850 million. Additionally, we acquired the remaining 50% stake in Refinor, among other minor transactions, optimizing fuel supply logistics in the north end of the country. In terms of asset sales in 2025, we also made progress, selling 49% stake in Aguada del Chanar Block and divesting conventional mature fields in YPF Brazil, among other minor transactions. Moving to 2026, let me start highlighting two key acquisitions that we have recently executed to reinforce our leading position in Vaca Muerta. First, in January 2026, we signed a non-cash asset swap agreement with Pluspetrol in Vaca Muerta. YPF transferred to Pluspetrol a 20% stake out of its 45% working interest in two recently acquired blocks from TotalEnergies, La Escalonada and Rincón de la Ceniza. In exchange, Pluspetrol transferred to YPF a 50% stake in three strategic wet gas blocks, key for the development of Argentina LNG project: Meseta Buena Esperanza, Aguada Villanueva, and Las Tacanas. Second, early this month, we acquired a portion of Equinor's assets in Vaca Muerta, increasing our existing ownership in three blocks for nearly $170 million. We added 4.9% stake in Bandurria Sur, one of our core hub blocks, resulting in a total participation of nearly 45%. We added 15% stake in both Bajo del Toro and Bajo del Toro Norte blocks, elevating our working interest in each to 65%. In terms of sales of assets, it is worth mentioning two other relevant transactions executed in the last months. First, last December, we successfully completed the sale of our 50% stake in Profertil for $635 million with attractive valuation. Second, last week, we executed the sale of Manantiales Behr conventional field, the first performing block under the Andes 2 Program, for approximately $410 million and an earn-out of $40 million. Looking ahead, YPF has publicly announced its plan to divest its 70% interest in Metrogas. This transaction is expected to generate significant proceeds during 2026, strengthening YPF's balance sheet and providing the flexibility to advance with our core growth strategy. Now, let me share the progress achieved in terms of operational excellence and technological innovation across our upstream and downstream segments. In the upstream business, particularly within our shale operations during 2025, drilling speed averaged 324 meters per day, while fracking speed averaged 262 stages per set per month, reflecting consecutive record-setting performances. Last January, we further improved those metrics by reaching 378 meters per day and 282 stages per set per month in drilling and fracking speeds, respectively. And if we compare against January 2023, we recorded an incredible growth of 66% and 61%. In addition, on the back of the continuous operational performance, during 2025, we managed to expand our activity efficiently by increasing 26% the oil wells tied in, reaching 250 oil wells on a growth basis, most of them operated by YPF. In the downstream business in 2025, the efficiency program was at the forefront of our decisions and allowed us to reach outstanding results. We inaugurated five real-time intelligence centers to provide operational support 24/7, highlighting the last real-time operations room inaugurated in December in La Plata Refinery, which serves as an integrated central hub for detecting operational deviations, replacing the previous model that monitors each industrial unit independently. In the fourth quarter of 2025, La Plata Refinery was awarded as the Refinery of the Year in Latin America. This is the first time that our refinery won an international award in its 100-year anniversary. The industrial complex also achieved the first quartile performance in multiple Solomon benchmarking KPIs. As a result, in the fourth quarter 2025, we reached record-high processing levels that resulted in a surplus of gasoline and mid-distillates production, enabling YPF to export refined products to neighboring countries and substitute imports. Turning to our midstream and downstream performance in 2025, our processing levels averaged 320,000 barrels per day, marking a 6% internal growth with a strong refinery utilization rate of 95%. In the fourth quarter, as just mentioned, we set a new 15-year record by processing 335,000 barrels per day, achieving a utilization rate of 99%. Last month, we beat our own record again, reaching 352,000 barrels per day, representing a utilization rate of 104%. Turning to domestic sales of gasoline and diesel, dispatch volumes remained robust throughout the year and the fourth quarter, growing internally 3% and 5% respectively, driven by increased demand across all commercial segments. We remained a solid 56% market share, consistent with our historic leadership in the sector, which increases up to 60% when including gasoline and diesel produced by YPF and dispatched through third-party gas stations. In terms of prices, during 2025, local fuel prices remained broadly aligned with international prices, with an average annual discount of only 3%. Moreover, last month, our local fuel prices stood 1% above import parities. Lastly, our midstream and downstream adjusted EBITDA margin remained strong at $17.2 per barrel in 2025. Notably, during the fourth quarter, our margin jumped to $22.6 per barrel on the back of our record processing levels, coupled with higher diesel crack spreads and lower costs. I am now turning back to Horacio for Argentina LNG 2026 guidance and final remarks.
Horacio Marin: Thank you, Max. Before we move on to our 2026 guidance, I would like to share updates on the Argentina LNG project. The first phase, known as the Southern Energy or SESA Tolling phase, where YPF holds an equity stake of 25%, aims a total LNG capacity of around 6 million tons per year. In 2025, the project secured FID for the 20-year available charter agreement, covering two floating LNG and will require the construction of a 100% dedicated gas pipeline. Total CapEx will be around $2 billion. It will be partially financed through a project finance structure similar to VMOS financing. Regarding procurement status, main packages for the onshore and offshore infrastructure have already been awarded. The project is expected to start operating between 2027 and 2028. The Argentina LNG phase consider development, design, construction, and operation on a fully integrated LNG condensate and NGL project. It focuses on [ Wenca ] gas block of Vaca Muerta. The infrastructure involved includes a liquefaction capacity of 12 million tons per year through two floating LNG and dedicated gas pipeline. It also consider a dedicated oil pipeline for condensate, wide-grade pipeline for NGLs, and onshore facilities, including fractionation, storage, and port facility. Once operational, the project cash flow will be anchored by long-term offtake agreement with investment-grade counterparties, including the sponsors of the project. The foundational sponsor of the project are YPF, ENI and XRG, an energy investment platform wholly owned by ADNOC. The partnership structure was formalized this month through the signing of a joint development agreement by the three parties. The CapEx of the project, excluding the upstream investment, is estimated to be around $20 billion, including the financial costs. Project leverage is expected to be around 70% of the total cost, consistent with precedent LNG transaction. The project is intended to be financed through non-recourse financing with multiple sources of funding, including ECAs, development banks, and commercial banks as potential anchors. The FID is targeted for 2026. Commercial operation for the first floating LNG unit is expected by 2030, and the second unit by 2031. During 2026, we evaluate the possibility to expand the project for an additional capacity of 7 million tons per year through a third floating LNG vessel, which FID will take place in 2027 or 2028 and COD by 2032. Finally, let me highlight that Argentina LNG holds one of the lowest breakeven price among the leading pre-FID projects globally, as reported by Rystad Energy. This advantage is reinforced by the efficient monetization of natural gas, condensate, and NGLs. In summary, Argentina LNG emerges as a reliable, robust, and flexible alternative worldwide, with all the ingredients to succeed: strong business rationale, coupled with outstanding economics, and a strong support for multiple stakeholders, including the sponsors and the off takers. Finally, I would like to share our updated 2026 outlook. Let's start by addressing our shale oil production plan. For this year, we are targeting production of roughly 215,000 barrels per day, consistent with what we announced in our last Investor Day. This represent more than double 2023 output. Moreover, our year exit rate is expected to be around 250,000 barrels of shale oil per day. In terms of adjusted EBITDA, we estimate a range of $5.8 billion and $6.2 billion based on an average Brent of $63 per barrel. This substantial increase, achieved despite declining international prices, is driven by our strategic shift in the production mix of our upstream operation and continuing efficiency program across the company. We continue to focus on our most profitable shale oil assets while successfully disposing large scale of conventional fields. Compared to 2023, this reflect an increase between 40% and 50%, reaching record high adjusted EBITDA since the beginning of YPF. Switching to our CapEx 2026, we plan to invest between $5.5 billion and $5.8 billion, consistent with our strategy plan disclosed during the Investor Day. Nearly 70% of these funds will be allocated in our shale operation. Regarding the free cash flow, we estimate a neutral to slightly negative position for 2026, as our increased estimated EBITDA and significant proceeds from the M&A transaction previously described will be offset by our CapEx plan, tax payment, and equity contribution to infrastructure projects. As a result, our net levered ratio will push down to the range of 1.6 and 1.7x, below the net levered ratio of 1.9x record as of December of 2025. Before turning to the Q&A section, I would like to once again tell you that I am especially proud to be working in YPF, and all of YPF employee of their commitment and their effort, without whom the remarkable results achieved in 2025 would have been not possible. We are very focused in transforming YPF as one of the best energy companies worldwide, and we continue driving our 4x4 Plan during 2026 with even more passion and conviction. With this, we'll conclude our presentation and open for floor questions.
Operator: [Operator Instructions] Your first question comes from the line of Daniel Guardiola of BTG.
Daniel Guardiola: I have a couple of questions from my end. One is on production. I saw you just shared a very impressive exit rate for 2026 of 250,000 for shale oil. I wanted to know if you could please provide us with the expected quarterly pace behind these targets, and perhaps more importantly, what are the key operational or infrastructure bottlenecks that could prevent you from achieving these exit rates? That would be my first question on production. My second question is on well productivity. I wanted to know if you can share with us how many years of Tier 1 drilling inventory you guys have at the current development pace that you have? Once you eventually transition or migrate into Q2 acreage, what would be the expected impact on EURs, IP30s, and eventually on IRR? Those would be my two questions.
Horacio Marin: This is Horacio. Thank you very much for the questions. The first one about the production. You have to expect during the half of the year that we'll be delivering between 200,000 and 210,000 barrels a day. Not a big increase at all. Why that? Because of the evacuation. That's why YPF was one of the pusher of VMOS, because we need more evacuation for deliver more production. Also, we have a very good numbers in the new ones, in the last, what is La Angostura Sur, and the plant will be finished by the middle of the year. After that, you will see an incremental, a big incremental that we see this year, and we are going to have, at the end, the 250,000 barrels per day. And next year, you will see more incremental, we are talking next year about that, okay? The second one about the merchant acquisition, I have no know if I'm going to answer your question word by word. Well productivity. Okay, the well productivity, if you see in the presentation, we take data from Rystad that compare the benchmark between all the Argentine companies, we see the well productivity for Argentina, the number one in almost all the benchmark is YPF. If you want to see there, you can see their numbers. In the drilling part, you will see that our cost from them is $4,000 per meter. We are very close, our number. What you don't have there, and you will see now, is that we make a very, I would say, very good bidding process, very pushing with the big, big numbers for the international oil service company. We wait after the bidding, or we finish in December, we have reducing unit cost by more than 20% for those tools. During this year, you will see in the first quarter, we have to see reduction in our CapEx per well.
Operator: Your next question comes from the line of Bruno Montanari from Morgan Stanley.
Bruno Montanari: I have a few questions on my end. First, on the free cash flow generation, can you help us understand, the profile of cash flows throughout the quarters? I'm trying to get a sense of, if there is any concentration, on CapEx or the contributions with Argentina LNG, that could, perhaps make a more concentration of cash burn in any particular quarter, or if there is any particular quarter where there could be positive free cash generation because of the collections from the divestments? That's the first question. The second question, quick one. On your free cash flow outlook for the year, do you consider the sale of Metrogas or only the transactions that are already closed? If I could add a third one, can you comment on what your current drilling completion cost is for the shale hub?
Horacio Marin: Thank you, Bruno, for your question. Number 3, I think I just answered before, okay? I pass there, okay. With number -- with the -- you talk about the LNG. The LNG, we've no big investment this year. We are focused this year for the FID of the 12 million ton per year. I mean, it's not the material for any of the companies this year. It's, you don't have to expect a big investment in LNG for 2026. Regarding CapEx, and you say any contribution, I think it will be, we are going to increase. At the end of the year, we have to increase to between 4 to 5 rigs. In the second part of the year, you will see more CapEx. That's why we see that our guidance for this year is more CapEx than previous this year, even though we are increasing a lot our efficiency in all aspects of the company. Regarding what you want to see -- the other you say about Metrogas, yes, we are now in the strip. We are in the finishing with the government that we will get the extension. After the extension, that is very near. I don't know, it's in a month or so. You will see that we are going to sell this year Metrogas. You ask also about how we get the cash flow positive, so I pass to Pedro, that he has all the figures in his mind, okay? Pedro, your turn.
Pedro Kearney: Bruno. Just to put this annual free cash flow position for 2026, let me highlight, assuming that we are going to get an annual EBITDA of $6 billion. Assuming -- can you hear me correctly?
Bruno Montanari: Yes. Yes, that's good.
Pedro Kearney: Okay, great. How are the math behind this neutral to slightly negative free cash flow position that we are forecasting for 2026? Assuming an EBITDA of approximately $6 billion, a CapEx of $5.7 billion, then interest payment of approximately $800 million, taxes of approximately $200 million, and the contributions to the infrastructure project, as you mentioned, should range on a $300 million, including VMOS, SESA, and a potential also expansion on the other system. That puts you -- and adding some extra costs from material fields and working capital, that puts you in a negative free cash flow position of between $1.2 billion to $1 billion. That will be offset by the collections from the M&A. I'm talking about the whole year, the M&A activity that we started at the beginning of the year, and we expect to continue along the year with the Metrogas sale, as Horacio mentioned. That puts you in a neutral free cash flow position, assuming that the remaining M&A activity, in particular the Metrogas sale, will take place during the year.
Operator: Question comes from the line of Guilherme Martins of Goldman Sachs.
Guilherme Costa Martins: I have a couple of ones from my side. The first one is on the ongoing investment of conventional assets under this project, right? I understand the company plans to be 100% exposed to shale oil. Could you please provide an update on when should we see this milestone being achieved? How should we think in terms of evolution of conventional production for the next two quarters? My second question is regarding lifting costs. I understand there was some non-recurring events in 4Q, some maintenance in shale that impacted the number for the quarter. How should we think in terms of evolution of lifting costs for the next two quarters as well?
Horacio Marin: First question, I didn't understand the question. That's why let me ask in Spanish. [Foreign Language] Okay, okay. I would say personal goal. My personal goal is at the end of the year, not to have any production of conventionals, okay? But, so far, we have very few. We have only in Mendoza, but also we are looking to try to get out very quickly. We have only gas in the north of Argentina, that is not operating part of that, and it's always positive cash out there. That is not marginal, but we want to be pure shale company. Now you will see that it will be during this year, the lifting cost is going down, not only because we are out of conventional, but also because we are improving the production of shale, and also because we are focused a lot in productivity. We think that we will have, at the end of the year, in order of total cost of YPF in order of $7 per barrel. I don't know if it's okay what I answer for your question? Are you seeing that I need to go further?
Guilherme Costa Martins: No, thanks so much.
Operator: Your next question comes from the line of Andres Cardona of Citigroup.
Andres Cardona: I have a couple of questions. The first one is in the reserves report. If you could help us to understand how many drilling locations are certified there, if you could put in the context of the total drilling inventory that the company has. The second one is, the review now includes upstream on the benefits. How does this change your, like, desire to develop projects that maybe were on hold because of the economy? This is a matter of the CapEx capacity that you may need to keep those projects on hold for the need to long-term development.
Horacio Marin: Okay. First question. In the presentation, you saw [ 16,300 ] location. That is gross, and it's 10, it's gross, and it's 10,000, the net. The one that you have in the reserve, would be the official in for the SEC, is 5% of the location that you already mentioned. We have plenty of reserves. Now are no reserves for the SEC, for the rule, because it's a rule, not the physical way of calculating the reserve. You will see year by year, that as we are developing, that the P1 is, might be increasing a lot comparing with any company because we have a portfolio that is very huge for Vaca Muerta. In the part of RIGI, from my point of view, I think it's a very, very good decision as a government for all the industry, that it will help for sure to develop the full Vaca Muerta for all the industry. We think that it's a positive decision, and we are analyzing, and we are now because of the RIGI, we are looking at how to develop all Vaca Muerta for YPF in the best way for making value for shareholders. That is the reason why next year in April, we are going to go to New York to explain the full development of YPF from 2026 forward. Okay?
Operator: Our next question comes from the line of Nicolas Barros of Bank of America.
Nicolas Barros: So just one question here from our side, on your LNG project, right? Given the recent news flow, what are your expectations on bringing a new partner to join the project?
Horacio Marin: Now, you know that we have a binding signature between our founder partners, that what they are is ENI, XRG from -- and from the subsidy from ADNOC and YPF. We are analyzing the interest of a 4 partner in this moment, but it's not like it's necessary, the 4 partner, to develop the project. With the 3, we can develop all the projects for the 12 million tons per year size. Okay? That is the answer.
Operator: Your next question comes from the line of George Gasztowtt of Latin Securities.
George Gasztowtt: I was wondering on the refining side, how you're seeing the refining margin coming so far this year after an impressive quarter. I know that local prices at the pump and global fuel prices have remained attractive, but obviously, Brent has firmed up towards the sort of latter half of the quarter. Are you seeing your cracks hold or starting to compress?
Horacio Marin: We have an excellent price policy that we are following, I don't know, it's all around the world also, that we can see all the price of any pump of any gas station in real time. If the spread change, okay, if they reduce, I have to reduce the price. If they increase, I have to increase. If the price of oil go up, I have to go up. If they go down, I have to go down. That is how we manage the price in YPF. The second one is with RIGI attention?
George Gasztowtt: No. That's it.
Operator: The next question comes from the line of Matias Cattaruzzi of Adcap Securities.
Matias Cattaruzzi: First, can you break down the upcoming LNG and infrastructure commitments for 2027 and '28? And then I have another question about sensitivities. But if you want to reply first.....
Horacio Marin: Another question or not? On the second question.
Matias Cattaruzzi: Okay, the second question is, with Brent at $70 per barrel and fair break-evens at $45, for YPF, what would be the elasticity going forward? Do we take into account the investor day that YPF did? If the production plan can change if these prices maintain over time?
Horacio Marin: Okay. The LNG this year, I say, is not material, okay? Really, I prefer to say not material because I have a commitment with all the partners now. I have not to say what is not public, okay? It's not material for any of the 3 companies. For '28, if we get the FID, what is our goal? Our goal during this year, it will be more important, it will be more material, that we will explain in really next year, I don't know, it's April or March in New York. I will explain in detail, very good detail, so there you can get all the numbers, okay? Our goal for all the 3 partners today is to get the FID this year. We have to start after to building all the infrastructure for the LNG to be in 4 years, everything done, okay? The second one, you say the, our break even $45. What is our specific brand? I don't understand what you mean.
Matias Cattaruzzi: [indiscernible].
Horacio Marin: Okay, if this break even to $45, we, I think we are going to have another war. There will be no LNG in the life. It would be -- I think it's another war. I don't expect that, but if that happen, this year, why we accelerate going out from the conventional, the more, I would say, more conventional, no, the marginal field, is we prepare for. If the analyst was right that the price was going to be down this year, we prepare not to have problem for the CapEx for this year, are going up, because after this couple of years, YPF will be so strong that you will see in the future. But if Go to $45, for sure, even our pre-break-even price is $45 this year, we have no problem. For next year, we have to change because, even though we are profitable, we don't have the capital unless you give the capital for us. For sure, we will change. Okay?
Matias Cattaruzzi: Okay. And if it goes to $70, $75, do you plan on accelerating CapEx or?
Horacio Marin: This -- today, this year, no, because we have to finish VMOS, we have to increase the evacuation, okay? As soon as we have the evacuation, if we can accelerate, it's my goal to be as quickly as possible. Remember that I want to be out of YPF in '31. So I have to deliver everything to YPF till '31. That is my goal.
Operator: We don't have any further questions. I'd now like to hand the call back to Horacio Marin for final remarks.
Horacio Marin: Okay. Thank you very much for all your questions. Thank you very much for all this year to be cooperative and ask questions that are good and challenging for us. I can tell you that I see the figures of the company in more detail than you can see, almost in all the figures, and I see this company is doing very well. Our thing is now the strength of the current YPF is amazing. I will see to make big value for all the shareholders, is our goal for all our team. We are very proud every day working in YPF, delivering our 4x4, and we are very exciting and very proud, all of us, that we are delivering what we say at the beginning of 2024. For you, that they are analysts and for all the investors, that we are going to work very hard to make Argentina exporting more than $30 billion in 2031, and deliver a lot of value for all shareholders of YPF. Thank you very much.
Operator: Thank you for attending today's call. You may now disconnect. Goodbye.